Operator: Good morning, and welcome to the NexTier Oilfield Solutions Second Quarter 2022 Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. For opening remarks and introductions, I would like to turn the call over to Mike Sabella, Vice President of Investor Relations for NexTier. Please go ahead, sir.
Mike Sabella: Thank you, operator. Good morning and welcome to NexTier Oilfield Solutions earnings conference call to discuss our second quarter 2022 results. With me today are Robert Drummond, President and Chief Executive Officer; Kenneth Pucheu, Chief Financial Officer; and Kevin McDonald, Chief Administrative Officer and General Counsel. Before we get started, I would like to direct your attention to the forward-looking statements disclaimer contained in the news release that we issued yesterday afternoon, which is currently posted in the Investor Relations section of the Company's website. Our call this morning includes statements that speak to the Company's expectations, outlook or predictions of the future, which are considered forward-looking statements. These forward-looking statements are subject to risks and uncertainties, many of which are beyond the Company's control, which could cause our actual results to differ materially from those expressed in or implied by these statements. We undertake no obligation to revise or update publicly any forward-looking statements except as may be required under applicable securities laws. We refer you to NexTier's disclosure regarding risk factors and forward-looking statements in our annual report on Form 10-K, subsequently filed quarterly reports on Form 10-Q and other Securities and Exchange Commission filings. Additionally, our comments today also include non-GAAP financial measures. Additional details and a reconciliation to the most directly comparable GAAP financial measures are included in our earnings release for the second quarter of 2022, which is posted on our website. With that, I'll turn the call over to Robert Drummond, Chief Executive Officer of NexTier.
Robert Drummond: Thank you, Mike, and thanks to everyone for joining the call. Macro conditions for U.S. frac completion services strengthened considerably since our last earnings call. We believe the frac market was already nearly sold out at the start of Q2. And since then, frac demand has taken another move higher. It's clear to us that record high industry-wide utilization is restricting our ability to keep up with completion demand. Simply put, we believe that the availability of frac fleets is one of the main bottlenecks impeding U.S. land oil and natural gas production growth for at least the next 18 months, which is a very bullish factor for extending the length of this cycle compared to previous ones. We believe there's a significant pent-up demand for our services due to the near sold-out nature of hydraulic fracturing services. Capital constraints, coupled with supply chain inefficiencies are inhibiting our industry's ability to increase the supply of frac fleets to match demand. In addition, significant underinvestment over the last several years, coupled with increased operational intensity that is driving wear and tear on this equipment is further limiting our ability to respond to demand. We believe that it could take the industry several years to correct this imbalance, likely extending the current favorable pricing environment beyond 2023. While we remain optimistic on frac fundamentals, we cannot ignore the emerging concerns in the economy with high inflation and growing top of global recession. As a result of a structural production deficit brought on by years of global underinvestment, high energy prices are a core driver of the current inflationary environment. These structural issues will need to be addressed before commodity price inflation can ultimately be brought back under control. We believe U.S. shale is well positioned to help fill this global supply deficit, signaling a continuation of strong well completion demand over the medium term. We firmly believe that affordable energy is critical to a fair and prosperous society and should be a top consideration when contemplating global social goals. So there are no quick fixes to the current structural supply deficit, and more reliable energy policy is badly needed to help society avoid potential worst-case scenarios. Importantly, we believe U.S. shale play a role in solving the world's energy needs and ensuring future energy security. So now to our second quarter results. For NexTier, our second quarter improved significantly from Q1. And with a strong June, we exceeded both our initial guidance and our operational update from mid-June. It was a record quarter for NexTier, both in adjusted EBITDA and adjusted net income per share. Adjusted net income of $99 million was a record for our company as was adjusted net income per diluted share of $0.39. Our sequential revenue was up 33%. And for the fifth consecutive quarter, we grew our revenue over 25%, significantly outpacing overall industry frac activity. Our revenue was up 189% compared to the same quarter last year. We did not deploy any additional horsepower in Q2, and we don't expect to deploy any additional horsepower for the remainder of 2022 while continuing to deliver growth. As mentioned, total revenue grew 33% sequentially to $843 million. Revenue growth outpaced our initial expectations with both gross and net pricing accelerating faster than we previously anticipated. We also saw efficiency gains relative to Q1 as a strong demand environment and a loaded frac calendar overtook the prior quarter's seasonal and transitory disruptions. Additionally, we continue to gain market share with our wellsite integration strategy, adding value for NexTier and our customers. We expect revenue to grow 8% to 10% sequentially in Q3 despite not adding additional horsepower. We doubled our adjusted EBITDA from $83 million in Q1 to $166 million in Q2 and increasing from $5 million in the same quarter last year. We achieved strong adjusted EBITDA incrementals of 40% on our top line growth, with our adjusted EBITDA margin increasing over 650 basis points compared to Q1. We see further margin expansion in Q3. And for the second consecutive quarter, we achieved positive free cash flow. Our free cash flow generation grew considerably in Q2, and we expect free cash flow generation will improve again in the second half. The recovery for the frac industry is a function of the strengthening market backdrop. Our ability to thrive in this strong market is a function of our people and NexTier has one of the best teams in the business. The resilience of our people does not go unnoticed, many of whom work in high-intensity environments and extreme weather conditions. NexTier's top priority is keeping our employees safe. In Q2, we forfeited some potential efficiency upside to ensure our employees stay safe in the triple-digit summer heat. We will continue to tell our employees to adapt their pace to prioritize their safety in line with these conditions. This is just the right decision for NexTier and our customers. Net pricing recovery accelerated in Q2, a function of strong demand and a near sold-out frac market. The full impact of the most recent round of pricing negotiations won't be seen in our reported results until the beginning of 2023. Even then, net pricing will still average over 15% below pre-COVID levels. Meanwhile, the quality of our technology deployed has improved dramatically since pre-COVID. We see a continued path to recapture all COVID-related pricing concessions, which combined with our latest digitally enhanced lower-cost operating model would result in improved profitability and margins relative to prior cycles. As we clearly laid out in our June update, we believe profitability and margins this cycle are set to outperform previous cycles. Our countercyclical investments to increase wellsite integration and convert more than half of our fleet to utilize natural gas are significantly enhancing our returns. In short, we see improved cycle dynamics compared to prior cycles, and we are very confident significant upside remains even from expected Q3 levels. At our March Investor Day, we highlighted that our integrated service platform could add $7 million per year of value on the fully integrated completions wellsite. Our integrated services platform continues to gain traction across our frac footprint, and we still have significant runway to expand our market share in these services. Over the past several years, we have divested non-core assets and businesses that are not suited for advancing our integration strategy and use the proceeds to accelerate our wellsite integration capability in the most capital-efficient manner. Fitting this thing, we are divesting our Coil Tubing assets in an all-cash transaction valued at approximately $22 million. While we see value in participating in the Coil Tubing market, we see an opportunity for this capital to be repurposed within our wellsite integration platform. We are pleased with the performance of our core businesses and the divestiture of our Coil Tubing assets will not have a material impact on future operating results. If you remember, one year ago, we announced our agreement to acquire Alamo. And this transaction has been a great success. Alamo is nearly fully integrated with the NexTier team. The business has operated with minimal introductions, and our teams have learned a tremendous amount from each other. We're very pleased with the operational and financial performance of these integrated enterprise as we hit the one-year anniversary. We are also very happy to say that the retention of Alamo's customer base has been a success. With respect to Alamo joining NexTier, the whole has proven to be truly greater than the sum of the parts. This transaction accelerated our winning strategy and aligned with our approach of allocating capital to high-return investments. In the case of Alamo, we used our strong and liquid balance sheet to convert more of the combined fleet to be powered by natural gas in an extremely capital-efficient manner. This transaction also made us the number one pressure pumper in the Permian Basin by active fleet count, a title that we still carry today. At NexTier, we have a history of adding value through opportunistic M&A transactions. Given the state of the oilfield services market today, with a strong multiyear outlook and limited capital dollars, we believe we are positioned well as an attractive counterparty for potential future transactions. Our strong and liquid balance sheet is a huge strength for us, especially at this point in the cycle. We are excited by the industry dynamics entering Q3, with strong demand from a healthy and profitable customer base and record high frac fleet utilization. Seasonally, the third quarter is typically the strongest quarter of the year, and we expect this historical trend to continue this year. Our fleet today is sold out, and we do not have plans to deploy any additional horsepower until we activate our first electric frac fleet early in 2023. Demand and pricing momentum remains strong, and we are already having conversations with our customers on their 2023 plans much earlier than the normal cadence. For NexTier, we're making final plans today to optimize our frac calendar for 2023 by aligning with the most efficient customers who value integration. The commercial landscape also provides opportunities for reoccurring discussions on market pricing and ensures inflationary pressures are passed through. Though still early, we are nearly booked for 2023 and are very excited about the outlook. As announced, when providing our operational update in late June, our first electric fleet will be deployed early in '23. I would view that frac capacity is one of the main bottlenecks restricting U.S. oil and natural gas production growth gives us conviction and this capital commitment. Nevertheless, even with this conviction as well as the attractive return profile we seek for this investment, this was not a decision we took lightly. We remain firmly committed to capital discipline, and we fully intend to balance potential investments in high-return projects against our top financial priority for sustainable free cash flow through the cycle. We continue to see the future for frac movement more and more towards natural gas power. We intend to continue to move our fleet in that direction responsibly over time, and our leading position in natural gas-powered equipment will help us profitably reach this long-term goal while still generating sustainable free cash flow. Our disciplined approach to investing is already yielding strong benefits. We expect to see accelerating free cash flow in the second half, driven by both higher profitability and less impact from working capital headwinds. We believe we are positioned to generate free cash flow in excess of $225 million in 2022, and this is an improvement from our late June update as we gain greater visibility in our second half outlook, working capital requirements and supply chain inflation. We also see significant upside to free cash flow again in 2023. For 2022, we continue to plan to use this free cash flow to bolster our liquidity and reduce net leverage, driving quickly to our ultimate capital structure goal of zero net debt, which we believe we can achieve early in 2023. We will remain flexible with our capital allocation strategy thereafter, prioritizing maintaining a strong and liquid balance sheet affording us significant optionality through the cycle and providing opportunities for continued investment in the highest return projects, including accretive M&A transactions. The market backdrop for frac is better than it's been in years. Demand for our services is strong. And given the capital and supply chain constraints, we see a multiyear upcycle unfolding U.S. land well completion services. Our prior fleet-enhancing countercyclical investments has us well positioned to capitalize on the cycle with expanding returns and strong free cash flow. I'll now pass the call over to Kenny to discuss the second quarter results in more detail.
Kenneth Pucheu: Thanks, Robert. Second quarter revenue totaled $843 million compared to $635 million in the first quarter. Sequential revenue increased 33% with growth significantly outpacing the market for the fifth consecutive quarter. Revenue improved in both our Completions and Well Construction and Intervention Services segments. Total second quarter adjusted EBITDA was $166 million. This adjusted EBITDA result was double the $83 million we achieved in Q1. The improvement in the profitability of our core business can be attributed to the following: first, we saw the impact of strong net pricing improvements with pricing traction reflecting the tight supply/demand dynamics in frac. Second, there were fewer seasonal and strategic disruptions in Q2. Weather and sand-related downtime in Q1 gave way to a strong and efficient market. Meanwhile, Q2 benefited from the strategic repositioning of our fleet in Q1. And finally, we continue to have success integrating more services around frac fleets. We rolled out the second phase of our Power Solutions growth during Q2. Our last mile logistics solutions continues to gain traction and our wireline franchise secured several new customers. In our Completion Services segment, second quarter revenue totaled $801 million compared to $603 million in the first quarter, sequential increase of approximately 33%. Completion Services segment adjusted gross profit totaled $185 million compared to $106 million in the first quarter. In Well Construction and Intervention Services segment, second quarter revenue totaled $42 million, an increase of 29% compared to $32 million in the first quarter. Adjusted gross profit totaled $8 million, more than double Q1. Second quarter selling, general and administrative expense totaled $36 million, which was consistent with the first quarter. Excluding management net adjustments of $9 million, adjusted SG&A expense totaled $27 million, roughly flat with the prior quarter and down over 100 basis points as a percentage of revenue. EBITDA for the second quarter was $136 million. When excluding management net adjustments of $30 million, adjusted EBITDA for the second quarter was $166 million. Management adjustments include $8 million in stock comp, with other items totaling net of $23 million, which are nonrecurring in nature. Approximately $22 million of total net management adjustments were cash-related. Included in the management adjustments is a $24 million accrual related to the earnout associated with last year's acquisition of Alamo. The earnout is proof that the transaction was a success. Now on the balance sheet. We exited the second quarter with $158 million in cash, up from $100 million at the end of the first quarter. We exited the second quarter with total available liquidity of approximately $492 million, an improvement from $349 million in the prior quarter. Our liquidity was comprised of cash of $158 million and $334 million available on our asset-based credit facility, which remains undrawn. Total debt at the end of the second quarter was $368 million, net of debt discounts and deferred financing costs and excluding finance lease obligations. We have no near-term debt maturities. Net debt at the end of the second quarter was approximately $210 million, a decrease from $272 million at the end of the first quarter. Cash flow from operating activities was $118 million for the quarter, where improved profitability was partially offset by the need to fund working capital. We aggressively managed our working capital during the quarter and saw improvement in customer collections. However, given our strong top line growth, working capital was still a use of cash. Our cash used in investing activities was $50 million during the second quarter. CapEx totaled $57 million, mostly driven by maintenance CapEx Tier 4 dual fuel upgrades and investments in our rapidly expanding Power Solutions business. This was partially offset by $6 million in proceeds from the sale of assets. This resulted in an overall positive free cash flow of $67 million for the second quarter. Now on the outlook. We are pleased with the momentum that we are carrying into the quarter. Seasonally, Q3 is typically the most profitable quarter of the year, and we expect that will be the case again this year. With additional net pricing coming through, we expect to once again improve our profitability on a sequential basis. It is important to mention that we are seeing inflationary pressures on both labor and equipment, which will partially offset these pricing gains. With our continued push on wellsite integration and our most recent round of pricing agreements, we expect total revenue will increase by approximately 8% to 10%, sequentially. We also expect a further increase in profitability and continued margin expansion. Our Well Construction and Intervention Services segment will see the impact from the sale of our Coiled Tubing business during Q3. Nevertheless, on the strength of our improving cement business, we still expect overall segment financial performance to be on par or slightly improved from the prior quarter. Overall, capital expenditures for the first half of 2022 totaled $87 million, slightly below our guidance for $90 million to $100 million. This was driven primarily by supply chain delays and the conclusion of our dual fuel conversion program pushed into Q3. I want to reiterate our guide of free cash flow of more than $225 million for 2022. We are operating the business within a framework that provides a high conversion of adjusted EBITDA into free cash flow. The intensity of the operations has increased with record operational performance. Meanwhile, supply chain delays are still significant, especially on major components. Working within our strong free cash flow conversion profile, we plan to bolster our maintenance spend in the second half of 2022 to ensure that we sustain our high performance into 2023. We plan to spend $100 million of CapEx in the second half of 2022, which includes increased maintenance CapEx, the carryover to complete the Tier 4 conversion program and continued funding of Power Solutions. This plan spend for the full year is still in a tight range with 2021, demonstrating our commitment to capital discipline and generating free cash flow early in the cycle. Our free cash flow generation accelerated in Q2, and we expect that second half free cash flow will be more than double from the first half. We anticipate working capital headwinds will slow in Q3. Although given the trajectory of the top line, it will likely remain a drag on cash. Balancing free cash flow while responsibly moving our fleet to be further powered by natural gas remains a priority through the coming cycle. We see significant upside remaining to our financial results, even without adding incremental capacity, driven by additional pricing power, further integration and through a constant drive to improve efficiency. We will continue to be diligent with our capital deployment decisions going forward as we balance our goals to both remain competitive and to maximize returns. I'll now turn it back to Robert for closing remarks.
Robert Drummond: Thanks, Kenny. I want to close with a few key takeaways. First, we have high conviction in our strong outlook for 2023, even given the current global economic uncertainty. Our customer base is healthy and generating very strong returns, and we believe there is considerable room for commodity prices to fall before our customers' returns would decline to a level that would impact the demand for our services here in U.S. land. Second, we are still working to capture COVID-related pricing concessions. Given our sizable base of operations and the impact of our next hub has had on lowering operating costs, even small incremental gains in net pricing will have a big impact on our profitability. We see considerable upside to the earnings power of our company even beyond Q3 and into 2023. Third, we believe the macro supports a multiyear high return cycle. Capital constraints and supply chain inefficiencies are restricting new capacity additions across all of the U.S. frac market, and we believe this means the current favorable pricing environment will continue through 2023 at least. And finally, our prior fleet-enhancing countercyclical investment strategy is starting to benefit our financial results. And we believe our free cash flow profile differentiates us from our peer group. We did not sit out during COVID, we worked tirelessly to prepare the Company for the recovery we knew would eventually unfold. Last mile logistics has been one area we have seen great success, and we see further high-return opportunities to grow our market share in this service line. Our strong free cash flow early in the cycle is a function of these opportunistic and high-return investments, and we expect to lead in 2023. With that, we'd now like to open the lines for Q&A.
Operator: Thank you. At this time, we will begin the question-and-answer session.  And the first question comes from Stephen Gengaro with Stifel.
Stephen Gengaro: So you've talked a bit about, obviously, the profitability improvements that you have seen and expect to see. You referenced the $7 million of uplift potentially from the integrated services offering. Can you talk about the impact that's had so far? Maybe how much of that you've realized so far? And how much of that -- the rest of the improvement has kind of been pricing utilization driven as we sort of start to think about potential for '23 and beyond?
Robert Drummond: Yes. A significant portion of what we've experienced so far has been related to pricing and efficiency. We've -- in Kenny's prepared comments, he mentioned the growth that we're experiencing in Power Solutions, which is a key part of that integration strategy has been right on expectations as we proceeded through our effort to triple that business size during this year. I think we're up to like seven of those fleets now, and we're headed towards 11 or 12 as we get into the early part of next year. He also mentioned that our wireline customer base is growing, and these are all feeding into our integration. And last mile logistics is something that we really like the opportunities to continue to grow in. And I would say, as it's been so far, I would say we're probably the secular third inning of that integration capture going forward. I don't expect to ever get to 100% across every fleet. We certainly probably would not have the Power Solutions capabilities, for example, to do that. And some of our customers prefer still do not integrate everything. But the trend is definitely strong upward. And as we're allocating our fleets to customers in 2023, their willingness to embrace integration is one of the factors in our discussions and decisions.
Stephen Gengaro: Great. And just a follow-up on that. My second question links to that. I think you mentioned in the remarks and I was writing quickly that you're in discussions on 2023 with customers already. But you said to about being nearly booked for '23. Am I hearing that right? And what kind of pricing discussions are you seeing as you look out to '23?
Robert Drummond: Yes, you heard it right. We are in a position that we could be fully booked in '23. I would just say, the tail end of the booking, we're still in negotiations with the customer base around things like pricing, contract terms and willingness to accept the integration model, which we think provides the most value for both of us. So I would just say that, that is a unique position to be in at this particular time. And I think the whole market is a bit like that. I think there's going to be a shortage of frac capacity in '23 despite all the efforts anybody wanted to try to make to grow capacity in the market. So I think that that's not unique to us necessarily, but our position is very good now and being able to do that. And I'd say you asked about pricing, we are in the process of establishing contractual terms for pricing that will begin in January and they would have links to opening opportunities to move market price and constant pass-through of inflation. So we feel really good about the way things are coming together and us and our customer partners are negotiating those terms going forward.
Stephen Gengaro: Very good.
Robert Drummond: Next question, please.
Operator: And the next question comes from Chase Mulvehill with Bank of America.
Chase Mulvehill: I guess first thing is just obviously a good quarter here and thinking about the EBITDA per fleet. You did $19.5 million in 2Q. But as we kind of think about things repricing, how much of that is actually kind of reflective of leading-edge price? And then how long do you think it will kind of take before leading-edge price kind of flows through your EBITDA per fleet?
Kenneth Pucheu: So look, I think that you're going to continuously see EBITDA to fleet increasing as we go into the rest of this year and into next year. We've been signaling in some of that recent publicly stuff we put out that we see it approaching already. And I think that the leading-edge of that is always going to be the leading-edge and there's always going to be a process of moving your fleet economics from the worst performing fleets towards the top. And that's an ongoing effort around everything from keeping the schedule full to efficiency to purely pricing. So I think that the leading-edge of the fleet is always going to be the gas-powered part of it. We spend a lot of effort and money on getting our fleet to grow in that -- our percentage of our fleet that can use natural gas in that direction. But even that part of the fleet is driven by what's going on in the macro driven still by what diesel fleets will bring. And so they move in concert. It's just that the leading-edge natural gas power part of the fleet has got a nice premium to it, associated with the corresponding savings that customers can get out of us on gas versus diesel. I hope that addressed it, Chase.
Chase Mulvehill: Yes, absolutely. Absolutely. And a follow-up question. Can you talk about your e-fleet strategy? Obviously, you don't have any electric fleets today. We don't -- I don't think you have any on order. We've seen a few people order some electric fleets here more recently. But just kind of talk about e-fleet strategy, if you plan to kind of order any new builds as you look out into 2023. And I think you said 18-month lead times. Was that an electric frac? Or was that Tier 4 DGB?
Robert Drummond: I didn't really say -- I didn't mean to say anyway 18 months lead time.
Chase Mulvehill: Sorry.
Robert Drummond: I would just say that more like will. But I would say regarding e-frac deployment, for us, it's very much a capital allocation question. And we've been sticking to the playbook around deploying our capital in the manner which has the best returns. And that was, first, obviously, for us, especially doing it early when the supply chain was plentiful and the prices were low, converting Tier 2 to Tier 4 to Tier 4 dual fuel. And we've just about consumed all of that capability. Kenny mentioned that some of that CapEx to wrap that up, will leak into Q3. But for us, after that, as we do replacement of our fleet, it will be in the arena of next-generation. Next-generation means some form of consuming natural gas to power it. And electric is a very good option for that. And we have announced publicly that we will be deploying our first electric fleet early in Q1 like in January. And that obviously -- because of the supply chain, we've already made that order and everything is on track at this point, at least for that to be the case. But if you think about the fleet trading at about 10% across us and everybody else, future investments in replacement for our fleet will be in that category of next-gen. And with that, we're going to need to make some orders along the way probably to address that. So e-fleet for us summarized early Q1 for the first one. And as we said, we don't have any intentions really trying to grow horsepower in the short term. But to maybe extend that answer to the question maybe that's on the horizon is what does that look like for growth. And we are not really in a mode to try to grow market share. We're in the return cycle, we believe. But when you think about the fact that the market is probably going to grow about 10% next year in frac fleets, anything that we did decide to do in the future would be in the category of next-gen.
Chase Mulvehill: Okay. Already makes sense. Appreciate it, and where you go.
Operator: And the next question comes from Derek Podhaizer with Barclays.
Derek Podhaizer: So free cash flow is accelerating here this year and next year. You talked about your target ratio leverage of getting down to 0x. Can you address your capital return program, what you see out next year given the ample free cash flow that you're generating? Could that be in the form of a share buyback, dividend, whether it's fixed special variable? Just some color on that would be helpful.
Robert Drummond: Yes. Look, I appreciate that question. If you don't mind, we'll kind of walk through our thinking about it. Like I mentioned a minute ago, we started early in focusing on free cash flow conversion through the cycle, made a bunch of countercyclical investments, consumed all the easy money to pick up on our DGB conversions early on, and that's been paying off very nicely for us at this point. I also mentioned that we would use CapEx to replace the attrition of our fleet with next-gen, which helps the return profile by lowering overall maintenance CapEx. But our objective -- before we really try to make any investments around growth, we intend and are on that path to improve our return on capital greater than our cost of capital and to drive zero net debt. So we're going to -- that's what we're going to be doing, continuing to address the balance sheet with the initial phase of this cash flow generation that we're creating. We have a lot of internal projects with very accretive return on investment opportunities. Power Solutions been mentioned. We got fleet enhancements where we can invest, for example, a next-generation blenders that are very instrumental to efficiency profile of the frac fleets that have a great return on investment and lowers maintenance CapEx. And in an arena of last mile logistics, getting the sand from the mine to the frac fleet in the most cost-effective manner. When you control that and you have a next hub operational like we have, we can do it better, we think, than the market from a cost-effective standpoint. So the bottom line is a lot of projects that have a better return than just kicking out a dividend or buying shares, I would just say that we would compare what we think of value-add share repurchases with these internal opportunities. And lastly, I would just say is that the cyclical M&A opportunities that are there at an accretive price, there are a number of those around our integrated platform, not necessarily purely just in frac horsepower, but in all the things we've been talking about that allow us to expand the fleet -- earnings capability of our fleet. The bottom line -- at the very bottom just consider us to be considering everything and with a lot of optionality in it, and we have not made a declaration about direct return to shareholders to be a buyback or dividend yet. Although with the earnings profile that we got, free cash flow coming in 2023, we're going to have to get to that point pretty quick.
Derek Podhaizer: Got it. I appreciate the color that makes sense. You hit on at the end about the M&A. I wanted to piggyback off of that. So it sounds like it won't be strict -- it could not be strictly frac pumps, something around your wellsite integration. But could you maybe expand on that as well? And if it were to be a frac pump to be solely next-generation pumps, whether that's DGB, electric or even direct drive turbine or other areas of the wellsite integration, Power Solutions business. Just if you can give some more thoughts around the M&A just given that you mentioned it a few times.
Robert Drummond: Well, we have a good track record with M&A, I think. And the ability -- the team is very good at integrating -- at additions. So we are looking and a lot of people know that we have the balance sheet and that track record. So we get to see a lot of things. I would just say that any growth that we were to acquire in that manner is preferable to organic growth, if it's organic growth adding capacity to the overall market. We like the supply/demand dynamics are in the market today. We don't want to be interfering with that progress and the ability to perhaps do acquisitions that move you up the next-gen curve or dynamics that improved your free cash flow profile, is something that we would be willing to look at and are looking at, I would say. So I think that's a great question. And the last part of it been not horsepower opportunities, they are numerous, and we have to become confident, more and more confident in the customers' acceptance and appreciation of the integrated model that we deploy and our ability to perhaps control our own destiny can be enhanced through some of these inorganic opportunities that exist.
Derek Podhaizer: Understood. Appreciate the color. I'll turn it back.
Robert Drummond: Great questions.
Operator: And the next question comes from Andrew Herring with JPMorgan.
Andrew Herring: So Robert, you mentioned how for next year in 2023, the plan is to replace equipment loss to attrition with next-generation equipment. I just wanted to clarify, does that mean exclusively e-frac equipment? Or could that also mean dual fuel conversions? And if it's a mix of those, kind of how is the decision -- how are you approaching the decision between which equipment you'd be prioritizing? And then also, do you need to place some of these orders well in advance to account for the supply chain delays in taking delivery?
Robert Drummond: Well, look, working backwards, I would say, yes, we do have to take into consideration the supply chain very, very much so. And that's one of the reasons I don't think the overall market can grow that much in '23 is because unless the orders are already made, you're not going to be impact until you get in the back half of next year. So -- and I'd also say that we have done a lot of work on forecasting what that looks like. And we don't think that there's about -- maybe 10% -- 9%, 10% work the growth that the whole market could deploy. That's a new build of all kind, next-generation as well as the redeployment of Tier 2-type diesel equipment that's been talked about recently by some of the competitors. I would just say that in that environment, even if you -- for us, if we were going to keep our market share flat like we've been saying somewhere in the 12% to 14% range, that would mean a couple of fleet adds for us, two to three as you look into next year. So all we've done so far is put ourselves in a position for one electric fleet that we've announced for the first part of the year. But I would just say is that we -- our options around what type of next-gen we want to keep open in tune with our customer partners. But I would say pending a solid solution for the power around an electric fleet, that is very interesting and very open and a very good path for the future. And that's the reason we took our first step in that direction. So I guess I just wish to watch you a little bit in the point I'm trying to make is optionality-wise, we're keeping both of those avenues open. But you would -- you should expect us to be deploying more e-fleets as replacements going into the future at this point.
Kenneth Pucheu: And Andrew, I'll just add, if you -- on your convergence question, so we do not plan to convert any of our Tier 2 to Tier 4 or Tier 2 DGB. We've been very efficient with our conversions, both organically and inorganically with our purchase of Alamo and being able to do those efficiently in terms of capital deployment. So instead of spending $18 million to $22 million on a Tier 2 to Tier 4 conversion, we'd rather put that capital to work and what Robert says, is next-gen, which is 100% gas, natural gas-powered equipment. So that's our strategy as it relates to the conversion program. We're nearly complete.
Andrew Herring: Understood. That's very helpful. And just looking at kind of the other elements of CapEx for next year. You had mentioned that maintenance spending has to go up a little bit in the back half of '22. I was wondering kind of what's your latest look on maintenance CapEx per fleet trends and what that might be in '23? And then just any additional growth CapEx priorities for next year, such as in Power Solutions or some of the other integrated services?
Kenneth Pucheu: Yes. Look, I'll take this year's CapEx, and Robert can talk next year. I think when you look at this year's CapEx, you need to look at it in the lens of versus prior year and also through the lens of our free cash flow conversion. And that's how we've been running the business to make sure that we can achieve our internal hurdles of high free cash flow conversion. But when you look at H2, we upped our forecast a bit because we have our crews at record performance. And with the supply chain delays we need to invest and sustain that high level of intensity. We've also seen, as I mentioned, supply chain delays. And so that means that we need to shore up our maintenance stock levels. So in H1, we were able to achieve about $2.5 million of CapEx per fleet on an annualized basis for our fleets deployed. I would say in H2, it's probably going to be $3 million to $3.5 million for those reasons I just mentioned. And I'll let Rob take 2023.
Robert Drummond: Look, I'll just emphasize, I know our COO, Matt would want me to be clear by the fact that the intensity that we run in the fleet these days are not -- does not have any historical precedents. We're running the fleets on average more hours per month than it's been done ever, I guess. I think it's not only us, but the rest of the market is doing is very much similar. So the consumption of maintenance CapEx and keeping the fleet up to speed is very, very important. And even making technology tweaks, like we mentioned around the blenders to be able to make an investment in those to make them more robust is something that also drives a little bit of maintenance CapEx. But I think the number that came -- we've got the intensity pushing maintenance CapEx up a little bit, and then we got the digital operating profile driving it down. So I think the range that Kenny gave between $3 million to $3.5 million. And the fact that these new investments -- any new investments made in the leading-edge of the fleet is just newer and that requires a lesser maintenance CapEx. So I think those trends are what we're looking at. And I think I would probably call it $3.5 million going into next year for the year.
Kenneth Pucheu: And then 2023 priorities, as you asked, Andrew, Power Solutions has been a big driver of growth for us. We're going to continue to fund that business. Robert mentioned keeping up of market share on electric fleet deployments. We have one committed. But what I would mention here is that there was a significant amount of capital that we deployed this year for our Tier 4 dual fuel conversions that won't be next year. So those are kind of our growth priorities next year.
Andrew Herring: Great. I will turn it back.
Robert Drummond: I appreciate the question. Next?
Operator: And the next question comes from John Daniel with Daniel Energy Partners.
John Daniel: Guys, great results continuing. Good to see. I want to come back to lead times for just a second and see if I can get hopefully a little bit more specificity. But let's assume you guys ordered electric fleets two, three, four, five, et cetera. What would be the expected delivery time of that roughly?
Robert Drummond: I think order -- I mean, declaring anything less than a year would probably be optimistic. And I would say, if you listen into the market, us, other people want to just say, most people's predictions historically lately have been drifting to the right around the supply chain so.
John Daniel: Got it. Fair enough. I'm just trying to make sure I understood. Robert, you mentioned the positive discussions with customers for next year. And I'm curious, are they giving you specific guidance, like, okay, I'm running four crews. I need to go to five. I'm just trying to understand because you alluded a 10% increase in activity next year. Is that based off of your specific customer discussions? Just any color around the rate of change in activity next year.
Robert Drummond: Yes. So John, we've been spending a lot of time planning for next year already and starting out by solving what is the production call on U.S. land, looking at a global macro, everybody, I guess, is kind of working on that. But to the effort to try to translate how many frac fleets are needed in U.S. land to address that call. And all of our cases indicate that there's not going to be enough capacity to address it. And then you look at the customers that are still adding drilling rig count to their portfolio, they're creating an inventory. So some of that discussion is around addressing potential growth. And remember, I mean, the customers are making an individual decision, none of them are decided for the whole macro. So it depends on who you're working with and there's potentially just by anything that happened with a particular customer. So for us, the smarter we are about partnering up, the better off that we're going to be. And I would just say that there's a mix. Some customers have changed providers at the turn of the year, and that's when most of that counterchange would occur. So I think people are shopping and people are also addressing growth needs for their particular portfolio of assets.
John Daniel: Fair enough. Okay. Two more quick ones, if I may. The cement market, just there was some chatter this quarter about -- or this month rather about cement issues, getting cement. Can you just give us your thoughts on what you've seen in that side of the market?
Robert Drummond: I'd be honest with you, our flag has been raised to have concern about it. And I've been asking this more than I usually do. And I would say is that our particular supply chain has done a great job of having multiple sources. So we have not lost a day or job related to not having cement. Although, I know there have been cases where that's been the case where we would get a cost and that could help us out for a little while in this particular opportunity there. What I would say is tight. But the expectation on the near term, probably driven by macroeconomic outside of oilfield opportunities is that it's probably going to get better in the near term as far as availability.
Kenneth Pucheu: And just one more data point. So if you look at our Q2 results in WCI, that improvement doubling EBITDA or GP, I should say, was mainly the result of our cementing business. They did a really good job in Q2, and we see continued growth in Q3. So that's a solid foundation of a business we have there that we're growing.
John Daniel: Okay. And then the last one, just sort of a technical one. The earnout stuff with the Alamo deal, when does that end?
Kenneth Pucheu: So the earnout is ends this year. So we had three earnout periods, six months in '21 and then two more. So it ends this year, no further earnout in '23.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. I would like to turn the call back to Mr. Robert Drummond for closing remarks.
Robert Drummond: Thank you. Look, just to wrap up, I just want to say that a little bit of concern out there in the marketplace around recession. But my view -- our view is, in any macro case, we need more oil and gas production from U.S. land. And I just want to reiterate our optimism in the current cycle, and we believe we have the right team and the right strategy in place. We look forward to speaking with you again next quarter. Thank you very much for participating in today's call.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.